Jon Stanton: Good morning, everyone, and welcome to Weir's Full Year Results Presentation. Please note, the usual cautionary notice on forward-looking statements. I'm joined today by our CFO, John Heasley, and will follow our usual format. So, after some opening remarks from me, I'll hand over to John to take you through the financial review, and then I'll return with the strategic and markets review and the outlook for the group. We'll then open up for questions with Andrew Nielson, President of Minerals; and Sean Fitzgerald, President of ESCO, also here with John and I for the Q&A session. Weir has a compelling long-term value creation opportunity and is a very different business to the one in the past. We're a focused mining technology leader with unique capabilities. We're deeply embedded in our customers' operations and supply chains, delivering engineering expertise and innovative solutions for sustainable mining, and our leading positions mean we are well placed to capitalize on the multi-decade opportunity in our markets, driven by the need for critical metals to deliver net zero and the transition to sustainable mining. With our portfolio transformation behind us, we're demonstrating the benefits of focus, investing for long-term growth and delivering on our commitments to our stakeholders. To remind you, in September, we launched a refreshed equity case for Weir, which set out our commitments to deliver excellent outcomes for all stakeholders. The outcomes we're targeting are simple and clear, growing faster than our markets, delivering compounding growth in mid- to high-single digits through the cycle; delivering operating margin expansion through operational leverage and our Performance Excellence program, which, in time, will take us beyond our 2023 target of 17%; cleanly converting our earnings growth into cash and returns and deploying it in line with our capital allocation policy; remaining highly resilient as demonstrated by the greater than 7% CAGR in our Minerals aftermarket since 2011; and delivering all of the above in the right way, eliminating harm in our operations and communities and with clear targets to reduce emissions in our end-to-end value chain. In 2022, we met all of these commitments. We grew our aftermarket revenues by 24%. We expanded our operating margins by 70 basis points. We achieved cash conversion in the upper end of our target range. We demonstrated resilience by delivering strongly in a complex operating environment, and we further reduced absolute CO2 emissions from our operations, while delivering significant top-line growth. I'm really proud of our achievements this year, which are a testament to the quality of our business and the talent and passion of our team. I'd like to thank my colleagues around the world for their continued commitment and great execution in 2022. With that, I'll now hand you over to John to take you through the financial review. John?
John Heasley: Thank you, Jon, and good morning, everyone. I'm delighted with our financial results for 2022, which were strong across the board. 14% order growth was supported by strong market conditions, but also reflected the compounding aftermarket effect of our ever-increasing installed base, successful market share gains and new product traction across both of our divisions. Revenue, up 21% at £2.5 billion with Q4 revenues at an all-time high against a challenging operational backdrop is testament to our vertically integrated regional operating model and focus on operational excellence. Notwithstanding these record revenues, we still added to our order book in the year with book-to-bill at 1.07, providing a great foundation for further growth in 2023. Operating profit of £395 million was 25% higher than last year and operating margins increased by 60 basis points or 70 basis points as reported to 16%. In a year of record inflation, this result clearly shows the benefit of our global market-leading positions, which allowed us to maintain our gross margins through pricing action. Profit before tax of £348 million was £99 million ahead of last year, including an FX translation tailwind of £16 million, with EPS up 38% at £0.984 per share. Finally, on this slide, and by no means least, free operating cash conversion of 87% reflected a strong working capital performance in Q4 as the anticipated supply chain easing and consequent shipping of OE projects unfolded as we had planned. The resultant net debt-to-EBITDA is down 0.4x at 1.5x, and we continue to have an abundance of long-dated, low-cost liquidity. I will now turn to provide some detailed commentary on each of the divisions. Starting with Minerals. Conditions in mining markets were highly favorable. Across most key commodities, market prices were significantly above miners' cost to produce, and then market demand was high. This was particularly the case in the Canadian oil sands and also for energy transition metals, such as copper, as physical inventory levels tightened through the year. Large projects remain slow to convert. So, miners met demand by accelerating production from existing assets and developing harder and more complex ore deposits. We also made good progress in our ambition to grow ahead of our markets with significant share gains, evidenced by converting over 75% of head-to-head competitor trials for large mill circuit pumps and increasing our installed base of energy-saving HPGRs. These factors, together with our growing installed base and the effects of declining ore grades, drove record demand for our aftermarket spares and expendables with aftermarket orders being up 18%. OE orders increased 2% year-on-year. You will remember that 2021 included two large one-off orders, each of more than £30 million, excluding which OE would have been up 17% with a bias towards smaller upgrade and debottlenecking solutions. These trends remain consistent through the year with absolute orders relatively consistent between Q2 and Q4, excluding the usual multi-period orders we received in Q2. We executed well in a challenging operating environment with our Weir production system, ensuring our end-to-end value chains ran smoothly. Revenues were 20% higher than the prior year, with aftermarket up 25% and OE up 8%. As supply chain challenges eased later in the year, revenue accelerated with H2 revenues 23% higher on a sequential basis and Q4 revenue at an all-time record high. Product mix was more weighted towards aftermarket, representing 74% of revenue compared to 71% last year. With book-to-bill of 1.09, we enter 2023 with a record order book to support further growth. Operating profit increased by 24% on a constant currency basis to £324 million as the division benefited from increased volumes and strong operational execution. Margins increased by 60 basis points to 18.2%, a good demonstration of the resilient and sustainable nature of our business, given the inflationary and logistics backdrop. Gross margins, of course, remained rock solid as we continued to successfully pass inflationary cost increases on to customers with average aftermarket price increases realized of mid-single-digit percent. The benefits of aftermarket mix, operational efficiencies and non-repeat of prior year cyber under-recoveries were partly offset by a return of T&E costs to pre-COVID levels and adverse transactional FX phasing. This was all as expected, and we look forward to further margin progress in 2023. Moving on to ESCO, where we experienced similar positive mining market conditions as the Minerals division. In infrastructure markets, demand was stable at high levels during the first half of the year. But from Q3, we saw a decline in demand in Europe and then in Q4 to a lesser extent in the U.S. Like Minerals, we grew ahead of the market with strong contributions from our acquisitions of Motion Metrics and CIS, both trading ahead of expectations. In our core GET, we continue to gain market share with 162 competitive net digger conversions, while we also made good progress on our capital strategy, growing orders by 28%. This resulted in overall order growth of 17%, including a 9% benefit from acquisitions. We saw a modest sequential decline in orders through the year driven by the infrastructure trends described above with underlying mining activity remaining buoyant. Revenues increased by 22% to £692 million, and like Minerals, showed sequential growth into the second half. Operating profit at £110 million was 18% higher than last year, as the division benefited from increased volumes and strong execution. Margins were down 40 basis points at 15.9%, in line with expectations. Again, gross margins were stable with mid-single-digit price realization, offsetting inflationary pressures. The margin reduction was mainly driven by the impact of Motion Metrics which, as expected, was breakeven in the year and the return of T&E costs to pre-COVID levels. Now bringing things together to look at the group operating margins. Overall, on a reported basis, group margins have increased 70 basis points in the period to 16%. With the non-repeat of the prior year cyber under-recoveries broadly offset by the return of T&E cost to pre-COVID levels, the main drivers of underlying margin movement in the year are as follows. Firstly, underlying efficiency improvements, driven by the Weir production system and corporate cost efficiency delivered a 40-basis point benefit; secondly, the increase in aftermarket mix in Minerals revenues provided a 90-basis point benefit. As expected, we then reinvested 30 basis points in our medium-term strategic priorities, including R&D, increasing to 1.9% of sales and Motion Metrics being at breakeven in the year. Finally, with high currency volatility, we've seen greater than usual swings in the valuation of purchases and sales in non-functional currencies and the derivatives used to hedge them. These valuation and mark-to-market movements, which are mostly phasing, had a 40-basis points impact. This all left margins where we expected at 16%, and we remain on track towards our 17% 2023 target. Our margin increase in 2023 will be supported by further pricing benefits, operating leverage, Motion Metrics moving to an accretive position on the back of further strong revenue growth and the initial savings from our Performance Excellence program. Turning now to exceptional items in the period, which increased to £49 million. These primarily relate to the wind-down of our Russian operations, which amounted to £44 million. It has been a complex process to wind down our Minerals Russia order book against ever-changing sanctions, but we've done the right thing for all of our stakeholders. Across the group, we generated revenue of £52 million and operating profit of £8 million from Russia, which will not repeat in 2023. We now have a clear view of remaining exposures and costs, which have resulted in the exceptional charge. It mainly relates to a write-down of working capital as well as redundancy costs in our Minerals business. In addition, it reflects the loss on disposal of our ESCO Russia business to management in September 2022. We expect more than £30 million of the exceptional charge to be non-cash. Turning now to cash flow. Our focus on operational excellence and reliance on our Weir production systems has supported a strong performance. Cash generated from operations increased by £182 million to £448 million and reflects an increase in profitability, together with an improvement in working capital performance. As expected, we saw a significant working capital inflow in the final quarter as supply chain challenges eased, and we saw much of the project activity, which had been held up in Minerals, we completed and shipped. As usual, our debtors book is strong with no credit concerns and our process efficiencies ensure debtor days improved to 62 days. While we did increase inventory, which was the main driver of the £49 million outflow in working capital, this is to support higher levels of business, which is once again carrying a record order book into 2023. This is all reflected in working capital to sales of less than 24%, which we believe to be industry-leading. CapEx was higher than last year and at one times depreciation was a bit lower than expected as our new foundry in China has taken slightly longer to progress given COVID restrictions. This all left free operating cash flow, up £157 million at £342 million, resulting in free operating cash conversion of 87% within our target range. Turning to the next slide, free cash inflow of £193 million compared to £62 million last year, mainly due to the favorable free operating cash flow just described. This funded dividends, exceptional cash flows and the acquisition of CIS, leaving a net cash inflow of £85 million. A £101 million adverse foreign exchange translation impact was the main driver of net debt increasing by £24 million to £797 million. This left net debt-to-EBITDA at 1.5x on a lender covenant basis. Following the refinancing of our RCF during the year and the addition in January 2023 of a new £300 million term loan, we settled the final tranche of the U.S. Private Placement debt in February this year. This leaves the group with more than £800 million of available liquidity at highly favorable interest rates. As a reminder, our $800 million sustainability-linked bond is fixed at 2.2% until 2026, and our RCF and term loan carry an average margin of 110 basis points. Briefly, this next slide sets out some financial guidance for this year with a few points to highlight as follows: Firstly, based on current FX rates, we would see £7 million full year operating profit translation tailwind. Secondly, we continue to expect free operating cash conversion of 80% to 90%, which will reflect CapEx above depreciation as we progress our new foundry in China. And thirdly, as previously discussed, we anticipate an exceptional cash outflow of around £15 million in the year, primarily relating to our Performance Excellence program. In summary, our markets are strong and our strategic initiatives are delivering above-market growth. Our execution is good, with revenues having accelerated to record levels through the second half. We've delivered a significant step-up in absolute profits and margins in an inflationary environment and critically converted our earnings into cash with 87% free operating cash conversion. Returns are good with return on capital employed increasing from 12% to 15.2%. And our full year dividend of £0.328 is 38% higher than last year. With net debt-to-EBITDA at 1.5x and abundance of liquidity, a record opening order book and strong markets, we look forward to a further year of growth and margin expansion in 2023. Thank you, and I will now hand back to Jon.
Jon Stanton: Thank you, John. Let me now share more details on the long-term opportunity for our business, beginning with our purpose before covering our strategic progress over the past year and then the outlook. We all know that metals power the world. They're the backbone of modern society and are critical to delivering the transition to a low-carbon future. The extraction of more metals is therefore essential, but for that to happen, the mining industry needs to evolve to have the environmental and social license to operate. It needs to become smart, efficient and sustainable. So, our purpose as a business is clear, we will be a leader, enabling this journey for our customers and our world. The dynamics in our markets represent a compelling win-win growth opportunity. While the transition to net zero needs more metals, such as copper, planned production is insufficient to meet demand. So, our customers are pursuing growth. And with large projects remaining slow to convert, they're accelerating production from existing assets, a sweet spot for our aftermarket and integrated solutions offering. In parallel, they have ambitions to reduce their emissions with many setting significant absolute Scope 1 and 2 reduction targets. And while grid greening will be a significant contributor to transition to new sustainable technologies will be essential. And this presents a compelling two-fold multi-decade growth opportunity for Weir. The world needs more critical metals to get to net zero and the mining industry must transition to smarter, more efficient and sustainable extraction and processing techniques. Today, we have a great business and strong platform to pursue this opportunity. We have leadership positions across the main verticals where we operate, verticals which are amongst the most abrasive and energy-intensive parts of the mine. And this makes us a critical supplier to our customers as Weir spares and expendables are crucial to keep mines running 24/7 week in, week out. Our unique footprint also creates opportunity as customers want access to new technologies to solve their biggest sustainability challenges. And we've worked in partnership with our customers to distill these challenges into five themes: move less rock, use less energy, use water wisely, create less waste, and boost with digital. And as we go forward, our technology and R&D road map is focused on these themes with voice of customer at its core. So, summarizing these last few slides, we have tailwinds in our markets, underpinned by demand for critical metals. Our world-class platform and strategic competencies together with our focus on sustainability and technology underpin our growth initiatives and give us confidence in our commitment to outgrow our markets. Our Performance Excellence program, which I'll talk more about shortly, will accelerate our growth and further unlock our margin potential. Altogether, this adds up to a significant value creation opportunity. So, turning now to our progress with that opportunity in 2022. As a reminder, this slide sets out our key strategic priorities that are enshrined in the We are Weir framework across our four pillars of people, customer, technology and performance. In short, I'm delighted with our progress in 2022, and I'll now expand on that as I talk you through some highlights over the next few slides. So, let's start with people. And here safety is always our number one priority, and we made good progress last year, achieving a 13% reduction in our total incident rate, which decreased to 0.39 on a like-for-like basis. However, our ambition is to eliminate all harm in our operations. And during the year, I was delighted to launch our Zero Harm Behaviors framework, which will drive further improvement in our performance. In December, we ran our latest all-employee survey to take the pulse of the organization, and it was great to see that almost 90% of colleagues responded, and our employee Net Promoter Score of 51 was an improvement on the prior year, keeping us in the top 10% of the manufacturing benchmark. This has been partly facilitated by our Weir connected digital skills program, providing colleagues who work in production access to digital technology and training. On inclusion, diversity and equity, our employee-led affinity groups continue to go from strength to strength, growing their membership and increasing their global reach. On gender diversity, our percentage of female employees remain steady at 17%. So, we're not yet making the progress I want, and this will have increased focus in the year ahead. And that starts with telling our story to captivate the next generation of scientists and engineers, particularly women and girls through the global expansion of our STEM initiatives. And more broadly through 2022, we continue to invest in our communities across the globe, including providing ongoing care and support for our people and their families in Ukraine and now Turkey. Turning now to customers and technology, starting with Minerals, where we achieved strong strategic progress across many of our initiatives. In comminution, we saw growing interest in our HPGR technology, including from customers operating gold, copper and lithium mines, as we expand our portfolio beyond iron ore. At Iron Bridge, which I visited in December, commissioning of our HPGRs remains on track and the £15 million per annum seven-year HPGR service contract is due to start in the coming months. And we'll also see orders kick in for our Warmans and GEHOs as operations ramp up across the mine. On digital, we launched the next version of our Synertrex platform, which will improve the efficiency and effectiveness of our customers' operations, and we're already seeing excellent customer interest levels. As John touched on, in our core mill circuit, we gained market share and also made excellent strategic progress on our integrated solutions strategy. And we're extending the opportunity there with our redefined mill circuit where reprocessing is reduced threefold, significantly increasing throughput as more fresh ore is processed while also lowering energy and water consumption. In total, this integrated solution consumes around 40% to 50% less energy than the traditional mill circuit. With respect to geographical expansion, we opened several new service centers, including in Almaty, Kazakhstan. And this supported business growth in Central Asia where we're supplying a number of new copper projects. In R&D, we invested in our core metallurgy and polymer capabilities, expanded our range of endurance screens and made good progress with new reference sites for our Terraflowing solution such as in the £6 million order for a project in Mexico. A particular highlight showcases the work we're doing with nickel customers in Indonesia. Historically, Russia has been a significant producer of the world's nickel, but with that supply exiting the global market, miners are investing in new expansion projects, particularly in Southeast Asia. The most common way to process nickel, which uses an autoclave, requires equipment to withstand high temperatures, pressures and acidity as abrasive slurry is pumped through the system. And this plays to the strength of our GEHO heat barrier pumps, which can withstand temperatures of up to 240 degrees C. And with these pumps specifically designed to minimize the number of parts which touch the slurry, which reduces downtime for our customers, we've developed a leading position in this attractive high-growth niche. This, coupled with investment in a new service and distribution center in Palu in Indonesia, has seen us win a number of projects in the year including total orders of £33 million for our GEHO pump solutions in 2022 and another £12 million already in 2023. ESCO also had a year of strong strategic progress. The successful integration of Motion Metrics was a particular highlight. We grew revenue significantly and also combine its proprietary artificial intelligence technology with ESCO's leading hardware to launch our production partner business model, extending our offering in the load haul dump cycle to help customers improve dig efficiency, reduce equipment downtime and idling, and optimize bucket and truck performance. The early results from our first reference site are encouraging, with shovel payload improving by over 20% and machine availability increasing to over 95%. Field trials of our ore characterization technology, which we talked about at our Capital Markets event in December, are now also underway. And as John touched on, we won share in core G.E.T. markets and grew our mining attachments business. On geographical expansion, we established a direct channel to market in Central Asia, while the successful acquisition of CIS gave us another direct channel in Eastern Canada as well as expanding our offering and capability in underground mining. We also continue to invest in new exotic alloys and polymers, which will underpin our next-generation products and solutions. Looking in detail at our progress on the direct channel strategy and mining markets. When we acquired ESCO across its mining markets, it relied on both third-party distributors and direct channels. Since 2018, our focus has been to transition to a fully direct model. This is a priority for our customers as they need dedicated access to our expendables to keep their mines running and they're increasingly looking to ESCO to provide broader solutions which address their challenges rather than simply buying off-the-shelf product. In 2022, we made good progress. The division leveraged Minerals footprint to expand into Central Asia and also made plans to transition from its current distributor in Scandinavia. In Eastern Canada, since we acquired CIS, Minerals is now leveraging ESCO's footprint, a great example of our two divisions collaborating to drive growth. Turning to the end-to-end technology strategy. In our mine of the future, we will provide highly impactful solutions combining the best technologies from across our business to deliver compounding benefits for our customers. Our ore characterization technology will ensure only the right rocks are moved. Using data and artificial intelligence, we'll deliver productivity and efficiency benefits in the load haul dump cycle and provide insights to optimize processing. Our redefined mill circuit will use less energy than traditional processes and reduce water consumption. Terraflowing will deliver improved tailings stability with the optimum balance of energy and water recycling, while minimizing waste. And our Synertrex digital solution will provide preemptive maintenance and also optimization of equipment performance in conjunction with Motion Metrics. Together, these technologies have the potential to transform mining providing the quantities of critical metals needed for decarbonization in a more sustainable way while also further strengthening Weir's position as a critical supplier to the mining industry and driving long-term growth. Now moving on to talk about our Performance Excellence initiative. As a reminder, the objective of this program is to capitalize on the benefits of a focused portfolio by driving efficiency across our end-to-end operations and enabling functions. There are three main elements to the program: capacity optimization, lean processes and global business services. And in total, we expected to deliver £30 million of run rate savings in 2025, which support our target to expand operating margins above 17% beyond 2023. We're on track to deliver some of the early benefits this year, and I'd like to talk you through some of our initial progress. On capacity optimization, there are four significant activities currently underway. In the U.S., we're transitioning our manufacturing operations to be closer to our customers, consolidating operations near the hard rock mines in the west of the country and a new facility in Salt Lake City. In Venlo, in the Netherlands, we're simplifying our business model from engineer-to-order to configure-to-order, which will streamline our engineering processes in response to expected demand for HPGRs. In Australia, we're focusing on our customers by consolidating a number of smaller service centers into a supercenter, which is enabling us to expand our customer offering while reducing our cost base. We've initiated all three of these projects and expect to see some of the initial financial benefits later this year. In addition, the construction of our new ESCO foundry in Xuzhou is progressing well with opening planned for late next year. On lean processes, we will see the benefits in both divisions. In ESCO, we're focused on improving process control, driving productivity and efficiency in our foundries, supported by the visual process control tools we installed last year. And in Minerals, we recently created a new role of Divisional Chief Operating Officer to work with Andrew to simplify fulfillment processes across our global value streams. The most significant element of Performance Excellence is functional transformation and our transition to global business services through the creation of Weir business services, which will provide end-to-end multifunctional support for key processes across the group. This will deliver best-in-class service in an efficient and cost-effective manner while freeing up further time for our sales and operations leaders to focus on delivering for our customers. The foundations for this transformation are currently being put in place with full realization of the run rate benefits in 2025. Turning now to sustainability. I'm extremely pleased with the progress we made during the year as we set more ambitious absolute Scope 1 and 2 emissions reduction targets and also outlined our first-ever Scope 3 target as we align our objectives with those of our customers. Our in-year performance was a real highlight, as we reduced our absolute Scope 1 and 2 emissions by 3%, while also growing our revenue by over 20%. Specific initiatives in the year included increasing the amount of electricity we source from renewables by 3% and significantly increasing our in-house solar generation at Weir facilities. Progress in the year marks another good step forward towards our 2030 target and means we've now delivered a cumulative 17% absolute reduction in our Scope 1 and 2 emissions relative to our 2019 benchmark, while our promotion to the CDP A List is a testament to our leadership in this important area. In the year ahead, our focus will be on further developing our avoided emissions or Scope 4 value proposition and then setting targets for green revenue. So, after a year of good strategic progress and strong execution, now on to the outlook for the year ahead. Conditions in mining markets are positive and demand for metals is strong, particularly for energy transition metals, such as copper, where global physical inventory levels continue to be extremely tight. These conditions, together with the effects of declining grades and installed base expansion, are driving growing demand for our aftermarket spares in hard rock mining. In our smaller markets, we expect demand in the Canadian oil sands to moderate, in line with energy market developments, while infrastructure is expected to be stable. For original equipment, demand is expected to be stable overall. Large greenfield expansions remain slow to convert and so our customers are accelerating production from existing mines in order to meet demand. This means there is continuing momentum in brownfield sites, both for debottlenecking and sustainability solutions. Putting this all together, coupled with the record order book we carried into the year, we expect another year of growth in 2023. Specifically, we expect to deliver growth in constant currency revenue, profit and margins and are on track to deliver our 2023 target of 17% operating margin, underpinned by pricing, operating efficiencies and the early benefits from Performance Excellence. On cash, we expect to deliver free operating cash conversion of between 80% and 90%. Now before I make my closing remarks, I want to remind you of our historic through-cycle performance, which shows why we're so confident about the future. The graph on this slide shows our Minerals aftermarket revenues for the last 12 years. And this period includes the end of the mining super cycle, the global mining downturn and the recent COVID-19 pandemic. Through all these events, Minerals aftermarket revenue has grown at a compound annual rate of more than 7% as our equipment is so critical to the operation of the processing plant, the beating heart of the mine and the primary generator of profit and cash for our customers. And since acquisition, ESCO has demonstrated very similar characteristics. While the infrastructure exposure means some cyclicality, the flexibility we have in our manufacturing footprint and cost base means operating margins will be resilient as we demonstrated through the pandemic. So, let me now summarize the key messages from this presentation. Weir is a different business to the one of the past with a compelling value-creation opportunity. We're a premium, highly resilient mining technology business, uniquely positioned to help our customers overcome their biggest challenges and with high barriers to entry. We're in attractive markets with future demand for metals driven by multiple tailwinds, including decarbonization and global economic and demographic trends. In 2022, we delivered on our potential. We outgrew our markets, we delivered margin expansion, we improved cash conversion and increased shareholder returns. We remained resilient dealing with significant complexities, and we advanced our technology agenda to make mining smart, efficient and sustainable. Looking forward, we're really excited about the opportunity ahead and have deep conviction in our ability to deliver excellent outcomes for all of our stakeholders. Thank you. And the team and I will now be pleased to take any questions you have.
Operator: Thank you. [Operator Instructions] And our first question today goes to Rory Smith of UBS. Rory, please go ahead. Your line is open.
Rory Smith: Good morning, Jon and John. It's Rory from UBS. Thank you for taking my question. I've got three, if I may. Just firstly, you've guided to revenue growth at constant currency this year. At what level do you see underlying market growth? And what gives you confidence that we get that performance? I suppose specifically, you mentioned market share gains in both businesses. Were those seen in revenue in 2022? Or are they in the order book for this year? The second question is on margins. Could you please help us with the bridge from 16% to 17% this year, how well underpinned is that expansion that you expect to see? And then, thirdly and lastly, on cash, a couple of moving pieces in the full year '22 number there, but could you just talk us through how you see working capital levels as well as the CapEx piece, please, developing through this year? Thank you.
Jon Stanton: Good morning, Rory, and good morning, everybody, and thank you very much for the questions. If I start with the revenue growth answer, and then I'll hand over to John to talk about margins and cash. So, I think through Q4 and thus far this year, we're seeing continued momentum in our hard rock mining markets. Activity there remains very strong. And our expectation is that it will continue this year. So, we're expecting to see production volume growth, the continued effects of declining grades sort of both driving growth in the aftermarket. Beyond that, we're expecting to achieve, again, mid-single-digit price realization. And of course, we've got a larger installed base this time this year when compared to last year, given the market share gains we had. So that installed base will gradually come on stream through the course of 2023 and that includes the Iron Bridge project, which is the HPGR service contract there, is £15 million a year of aftermarket revenue. So, those are the tailwinds, if you like, in terms of stuff going in the other direction. Then we're expecting the oil sands to moderate a bit this year. It was -- had a stellar year last year. And I think just with the modest reduction in oil prices and so on, then we can expect to see a little bit of moderation there. And of course, we had circa £50 million of revenues from Russia in 2022, which won't repeat clearly in 2023. Infrastructure, as we -- as I said in the comments, it is really expected to be stable. North America holding up at high levels, Europe continues to be really weak. So, net-net-net, when I think about the aftermarket for the two businesses, then that gets me to kind of mid-single digit. And I think the building blocks are very, very clear. We're probably expecting to be broadly stable at this stage. Most of our planned revenue is already in the order book. So, we'll see how that evolves, but that's the working assumption at this point in time. John, on the margins and cash?
John Heasley: Yes. Good morning, Rory. So, in terms of starting with margins, we feel good about the 17% target for this year, and there's a number of moving parts that we feel are well within our control. Firstly, just to take the sort of similar building blocks that were on the bridge for 2022. Then in terms of efficiency, you've seen that we've delivered 40 basis points of efficiency in 2021, another 40 basis points in 2022 and that's a testament to our operational efficiency or Weir production system, et cetera, and a bit of operating leverage, and we'd expect to see that continue into 2023. That will be further supported in terms of underlying efficiency with pricing. So, you'll know that we had quite significant price adds through the year in 2022. And therefore, we will have some annualization of that to come into 2023, which will be a tailwind for us against the backdrop of input commodity costs and metals being relatively stable, while things like freight costs coming down, you can see the freight rates have come down quite significantly, that will be a benefit to us. And then, of course, we've got higher wage inflation in our sort of U.S. and Europe, especially compared to history. But when you roll all those pricing, commodity costs, wages together, that's still a net positive for us into 2023. In terms of mix, we've talked through a little bit the revenue shape for 2023. Clearly, we see aftermarket continuing to grow. OE more stable, and therefore, likely that we'll see a mix -- slight mixed tailwind into 2023 as well, which will be part of that 100 basis points step-up. In terms of investment, you've seen that we've made quite significant investment over the last two years in R&D and our medium-term strategic objectives. We're very, very close now to our target 2% R&D as a percentage of sales. So, we will continue to invest, but it will be more moderated in terms of the step-up in 2023. And then finally, our Performance Excellence program that we announced last year, we'll start to see the first benefits from that in 2023. That will be principally from the capacity optimization that you heard Jon talk about there. and that will be in the sort of mid-single-digit millions type territory. So, we feel really good. There's lots of moving parts there, but lots of it within our control, which underpins our confidence in getting to that 17% this year. In terms of cash, obviously, delighted with how we finished 2022. That's a clean set of numbers. And therefore, as we move into 2023, working capital to sales at less than 24% is how we finished 2022. We'd hope to keep that in a similar sort of range in 2023. And therefore, as we see revenues grow, over the full year, you'll probably see a modest outflow of working capital, of course, more biased to the first half as we build inventory to support revenues, which always sort of are higher in the second half of the year. So, outflow in the first half, inflow in the second half, a modest outflow overall for the full year, but no change from our previously stated guidance, which for 2022 was 80% to 90%. We delivered that. For 2023, consistently, it's 80% to 90%. We will deliver that. And then of course, the step-up in 2024 to 90% to 100%, and that's because our CapEx will step down. To your question on CapEx will be probably about £120 million in 2023, Rory, which reflects the fact that our ESCO foundry in China will be getting towards completion this year, and that's a step-up of CapEx above depreciation. So, no change, in short, to our cash flow guidance.
Rory Smith: That's all very clear. Thank you very much.
Operator: Thank you. And the next question goes to Christian Hinderaker of Goldman Sachs. Christian, please go ahead. Your line is open.
Christian Hinderaker: Yes. Good morning, everyone, and thank you for taking my questions. I have three. Maybe we can take them in turn, please. Firstly, interested on the aftermarket business. Q4 absolute orders were largely consistent with Q3 for the group as a whole. I wonder whether that was the case within the aftermarket? And the reason I ask is because we've seen somewhat of a softening in aftermarket demand at some of your peers talking about a normalization in large-scale refurbishment spends following the sort of post-COVID buildup. I think your mix is a little bit more skewed towards consumables versus that sort of larger refurb-type work, but I'd be grateful for your thoughts here in terms of the cadence of demand in aftermarket Q-on-Q as well as any considerations towards the beginning of Q1?
John Heasley: Good morning. Christian. Yes, I think you're absolutely right there. You have to recognize that our aftermarket is 90%-plus spares and expendables. So, we're selling hardware, which is driven by the Weir of the equipment, be that the mobile equipment in the mine or the fixed processing plant in the mill circuit. And we saw in hard rock mining, as I said earlier, continued momentum in both businesses through the fourth quarter. I would say that Minerals was particularly strong. If you look at the fourth quarter orders for Minerals, then if you take out and compared to Q2, where we have the sort of £20 million, £25 million of the multi-period orders, it was actually the highest quarter in the year. So, I think that's really a testament to the momentum that we've got in the Minerals business, and we're delivering strongly on what is a very active market. As I said, our customers are flat-out at the moment trying to produce to keep up with demand in a market where supply is somewhat constrained, pushing the equipment harder, trying to drive more production, debottlenecking to a degree. So, we're benefiting from all those trends. So, Minerals really, really clean. Couple of more moving parts in the fourth quarter for ESCO. We saw the continued deterioration in the European infrastructure markets. So, actually, in the fourth quarter compared to last year, it's probably almost 50% down in terms of revenues. They're not big numbers in the scheme of things, but that's a big driver in the progress of the ESCO orders. And I think the other thing just to highlight in ESCO in the third and fourth quarter as well, I talked in my speech about the effects of moving from distributors to direct channels, that does create an air pocket in orders for maybe three to six months because you essentially burn down the inventory in the dealer before you then start selling new inventory to the direct customer. So that was also a bit of an effect in ESCO, which is temporary. So, for both businesses, the underlying hard rock mining, volume very, very strong and consistent and as I said, we're carrying that momentum into 2023.
Christian Hinderaker: Thank you, Jon. I guess, secondly, on the 2023 outlook, talking about higher constant currency growth and margins, just within the growth components, and I know you've touched on this briefly, but thinking about the balance of price versus volume, if we look at the Minerals aftermarket, for example, you flagged a 7% CAGR historically. How much of that would you say was price versus volume historically? And then, how should we think about the flow-through of pricing versus last year versus the potential for further price increases this year with respect to your mid-single-digit guide? Thank you.
John Heasley: Yes. Now I would say that the historic CAGR is really largely volume driven both by production volumes and by installed base growth. And if you think about many of those years were sort of end of the super cycle mining downturn, pricing was actually quite challenging, so really driven by volume growth. And as we look at 2022 and 2023, price realization across both divisions mid-single digit. We've delivered that in 2022. That's the expectation for 2023. And as I said earlier, most of that is now locked and loaded. We've still got a bit of those price increases to put through, through the first quarter and into the second quarter, but most of it is now agreed with customers. So, the underpin is there. And then I go back to the answer I gave to Rory, there's lots of moving parts in terms of how we get to mid-single-digit growth in aftermarket revenues for 2023, pricing and volume, both positive, but you're going to sort of think about then the slightly weaker oil sands and the effect of losing all the Russia revenue as well, which kind of push you back down to the mid-single-digit range.
Christian Hinderaker: Yes, understood. Finally, then, just around the competitive landscape within Minerals. You've obviously got one of the highest aftermarket capture rates in the market in Warman, slurry pumps, for instance, I think it's as high as 90%. But some of your competitors are looking to raise their aftermarket mix as well as introduce new product designs in areas where you have particular strengths. Can you talk about how you defend those high capture rates as you've done so for a number of years now and whether you're seeing any signs of price-led competition coming into the market?
John Heasley: Yes. I think the simple answer to that is that we've got a terrific platform, strong brands, strong positions, and we grew -- we actually grew our installed base and market share in 2022, testament to the features of our business. But maybe I could just ask Andrew to just give a little bit of color on that in terms of the competitive environment, what we're seeing, how we're winning in the market. Andrew?
Andrew Nielson: Yes, thanks, Jon. Yes. I would say fundamentally, we haven't really seen any change in market dynamics in terms of competitors and how they're acting. And for us, it's really very much the same strategy that's been successful that we work on, and we work with our customers very focused on total ownership cost. So again, it's back to what can we do with our products to make sure they are getting the optimal benefit. And again, growing installed base, we're in trials quite often side by side, we're very successful there, converting more than three out of four that we did in the year. So, we know our installed base is growing, as Jon mentioned earlier. So, we feel confident -- we continue to focus on our strategy of the customer alongside R&D and product development, as we mentioned earlier, we continue to increase our investment in that area. We continue to bring new products to market ourselves. So, excluding all those things that help us continue to retain our position and grow it. And our idea is with things like digital products we're launching to increase that barrier to entry. So we are, again, more embedded with our customer and even less susceptible to individual replicators.
Christian Hinderaker: Thank you, Andrew. Thank you, Jon.
John Heasley: Thank you.
Operator: Thank you. And the next question goes to Klas Bergelind of Citi. Klas, please go ahead. Your line is open.
Klas Bergelind: Thank you. Good morning, guys. So, coming back to services. Obviously, some of your peers have seen a slowdown in shutdown services, you largely spare parts. Can we talk about that mid-single-digit growth comment, Jon? We obviously -- we have pricing we need that growth. Did you say that you expect a mid-single-digit price realization because that would obviously suggest flat volumes during the aftermarket. I just want to clarify what you said on pricing. I'll start there.
John Heasley: Hi, Klas. I did say mid-single-digit price realization in 2023. I also expect low to mid-single-digit volume growth. So of course, that takes you above mid-single digit in terms of potential aftermarket growth, but we've got headwinds in terms of Russia in terms of oil sands and European infrastructure. So that pulled me back to mid-single digit overall in terms of expected aftermarket growth. Is that clear?
Klas Bergelind: The second one I have was on the margin progression towards 17%. We know the moving parts, but obviously, mix has been a big positive mix impact. And that should still be positive, but should level off in the bridge. Did you put the like number on that, John, I couldn't hear that, 2023?
John Heasley: Yes. So, you saw the 2022 number was 90 basis points. So, for each percentage point move in the Minerals mix towards aftermarket, it's about 30 basis points. I didn't put a number on that for 2023, but you can sort of work that back through in terms of saying we're seeing 5% growth in the or -- not 5%, mid-single-digit growth in the aftermarket and OE broadly stable, then that sort of you'll see a slight move in the mix towards aftermarket that you can use that ready reckoner in terms of 30 basis points per move in -- point move in the mix.
Klas Bergelind: Perfect. My very final quick one is on European infra. I mean it's not a big part of the group. But -- and we had the destocking impact you talked about there, 50% down. We have heard from others about improving construction and infra backdrop in Europe as gas prices have come down, things are looking a little bit stable. Are you seeing anything in terms of pipeline, Jon, in terms of things improving on the European construction side?
Jon Stanton: Not really. Yes, I think at the beginning of this year, it's sort of similar levels to what we saw in the fourth quarter. So, our working assumption is that it stays pretty low levels. Might Europe not be as bad as that. I think that's a possibility, but I'm not counting on that just yet. And I think it's worthwhile just mentioning in North America as well, we were sort of slightly down in the fourth quarter, but we actually think that was just kind of coming back to normal seasonal patterns rather than any destock because it has bounced back up a little bit again in January and February. So, I think if you think about 2021, it just continues to accelerate as we came out of COVID. So, I think 2022 is more of a normalization of -- in North America, and I'd expect that to sort of continue at those sort of levels of activity in 2023. And of course, over time, in the U.S., the Inflation Reduction Act is going to be quite supportive of that, I think.
Klas Bergelind: Thank you.
Jon Stanton: Thanks, Klas.
Operator: Thank you. And the next question goes to Max Yates of Morgan Stanley. Max, please go ahead. Your line is open.
Max Yates: Thank you. Good morning, Jon and John. I just wanted to ask firstly about Motion Metrics, and just a little bit about kind of obviously, we know how big that business was when you bought it. You talked about kind of expecting to see that go into the black in terms of profitability. But I just wondered kind of how quickly -- because obviously, you're pushing it across different parts of your group, how quickly has that grown, how quickly could it grow just as a kind of contribution to revenue? Just to get a feel of essentially kind of how successful you think you can be in terms of sort of pushing that solution through other parts of the group outside of ESCO.
Jon Stanton: No, look, I think in 2022, it sort of delivered slightly ahead of expectations. Actually, we almost doubled the revenue of £10 million or so up, which is what we were expecting. We knew that the total revenue was going to be breakeven, which, as John said, was a factor in the ESCO margins for the year. As we invested in the next generation of products and doing some of the things that we needed to do in terms of upgrading the software, which has been done, we're expecting a similar absolute growth number for 2023, and that takes us into the black. So, it will eliminate the dilutive effect that Motion Metrics has had on ESCO margins in 2022 and hopefully move to mildly accretive to ESCO margins in 2023. More broadly, we're really, really excited. One year in, I think it's been a great acquisition. I'll let maybe Sean can come in and comment on this and for the first time. But I think really, really pleased with how it's been integrated. It was our first tech acquisition. We're very mindful of protecting the entrepreneurial and start-up culture that it has. I'm really, really pleased with that. And as we start to then think about what it can do more broadly in terms of AI capability, it's really, really exciting. And we talked quite a lot about that in the Capital Markets event in December, but really pleased. I mean, Sean [indiscernible] what are your first impression is?
Sean Fitzgerald: Yes. Thanks, Jon. No, a couple of things. I mean one, really impressed by the integration that occurred last year under Andrew. As Jon mentioned, take a tech company and bring it into ESCO and keep what's great about it, but leverage the ESCO and the Minerals network to broaden out the technology in terms of our customer base. We have hundreds of these units out there now. And one thing that not only the customer saying the value in words, as I go around and visit them, I think you start to see it in action when you start to see the upgrades from some of the Gen 2 technology into Gen 3 technology. That's a clear indication of voting with their wallets in terms of the value they're getting out of that technology. So really exciting to see where that can go well into the future.
Max Yates: Okay. Thank you. Maybe just two more quick ones. Just Jon, how does that make you think about acquisitions going forward? Because obviously, that sounds kind of quite successful, your leverage has come down. So, I'm just curious to think -- to understand kind of do you have a pipeline of deals like this? Was this sort of fairly unique in terms of Motion Metrics was one you really felt you needed? I'm just trying to understand kind of how you're thinking about the acquisition strategy as we go through the next couple of years.
Jon Stanton: Yes. I think stepping back, Max, we're thinking about growth first in terms of our capital allocation policy, and that starts with our organic strategies, which I think are actually very, very exciting in terms of both broadening out the existing products and solutions, but then thinking about the innovations and new technologies, which are going to help us solve our customers' biggest challenges, kind of we're investing behind that organic strategy, and we're really excited about the portfolio of new technology we're bringing to the market. And then, from an acquisition point of view, it's to say, well, if we can accelerate any of those strategies by either another tech acquisition, software company or even a more traditional hardware, bolt-on, geographic expansion infill, then that's how we're thinking about it. But our mindset is that the growth opportunity ahead for Weir is really, really exciting. We're now delivering the cash that we said we would deliver, benefiting from the focus of the portfolio and that's going to create the headroom for us to invest behind that growth opportunity.
Max Yates: Okay. And maybe just a final one for other John. Just in terms of your -- you helpfully kind of gave a bit of guidance on CapEx sort of beyond 2023. I think on your working capital to sales, at least from my memory, I think we talked about sort of potentially getting down to 22% longer term around the time of the oil and gas split. So, I just wanted to understand, is that still kind of -- I appreciate the guidance for 2023, but beyond sort of 2024, 2025, do you see 24% as kind of the right level of working capital to sales or is there kind of room to improve? And maybe has your perception of that changed given obviously what we've seen with disruption around supply chain. So just to understand how you're thinking about that would be great.
John Heasley: Yes. Thanks, Max. No, I mean, I think I've said over the last year that I see the working capital opportunity being in the 20% to 25% range. And I've said that in the short to medium term will be towards the upper end of that, which we are just now. But as we continue on our Performance Excellence journey across functions, across the operations, we get SAP fully embedded across Minerals, then we're going to strive for continuous improvement, and we do see further opportunities to drive that down towards that 20% over the medium and long term. So, we're not putting a ceiling on that at current levels. We'll continue to strive for improvement and the investment that we're making in systems and process and people will underpin that over time.
Max Yates: Okay. And sorry, John, can I very quickly squeeze one just on Latin America. Obviously, we've seen kind of headlines in Peru around sort of disruption from strikes. Have you seen any impacts of that on your business? Because I think some of the estimates of sort of copper production this year are being impacted by what's happening in parts of Latin America. So just understanding, do you have any kind of disproportionate exposure there? Has that impacted the start to 2023?
Jon Stanton: Yes. Peru, Max, over the years, it's been characterized by disruptions from time to time. It's obviously a little bit more intense at the moment in terms of the political situation there. But I would say it's been sort of mixed actually. So, some customers have probably pre-ordered a little bit because they were worried about supply lines. Other customers have slowed down. But net-net, it's broadly where we thought it would be. We're watching the political situation closely, obviously, and hopeful that there'll be another election fairly soon, which will bring the current unrest to an end. But for us, it's kind of the normal bread and butter, frankly, in terms of what we're managing there at the moment.
Max Yates: Understood. Thank you very much guys.
Jon Stanton: Thank you.
Operator: Thank you. And our final question goes to Bruno Gjani of BNP Paribas Exane. Bruno, please go ahead. Your line is open.
Bruno Gjani: Thanks for taking the question. I was just really trying to gauge how large the commissioning-related tailwind might be for order intake for the Minerals aftermarket business for next year. So, I get that Iron Bridge is essentially a 1% mechanical tailwind today, but with such healthy levels of OE activity over the last two years, what might the total commissioning induced aftermarket tailwind look like for the Minerals business in 2023? Any color here would be greatly appreciated.
Jon Stanton: Yes. I mean, it's sort of -- I said, look, we're expecting volume growth of low to mid-single digit and the effect of the new installed base commissioning thereof is going to be part of that multiple factors, but it will be an element of that. Iron Bridge was supposed to start at the beginning of this year. It's now more likely Q2, actually a full mine will be running such a bit later. And the 135 large mill circuit pumps that we sold last year, which is a big feature in our installed base, will gradually be installed over the course of the year as their commission. So, it's not as if there's a sort of a spike-up in the first quarter that then continues. It will be a gradual bleed in of that commissioning -- those commissioning features over the course of the year. So, it's kind of inherent in my low- to mid-single-digit view of volume growth in the year.
Bruno Gjani: Got it. And I was wondering, secondly, if you could update us on the development of the combination business this year. I think last year, you commented that it generated around £150 million worth of sales. How has the business developed this year? How do you assess the order pipeline and the ability to prevail on that order pipeline as we look towards 2023?
Jon Stanton: So, I think we've made continued good progress. The pipeline actually continues to be very, very strong and exciting. I think converting the pipeline was one of the more frustrating things in 2022 and largely driven by the fact that our customers, going back to what I said earlier on the questions on the aftermarket, the complex is absolutely flat out at the moment. And customers are not willing to stop production to -- they'll add capacity on a module basis if they can do it very quickly without slowing down production, but a more fundamental sort of upgrade and commissioning as being problematic for them just given how the commodity prices are and how focused they are on delivering output. So, the pipeline is strong, slightly frustrating in terms of conversions last year. We're actually really getting very, very focused on figuring out where are the opportunities that we can install more HPGRs and other of the broader combination range that we've developed in a way that's not in any way disruptive to production. So, it's caused us just to sort of think about more strategically about the pipeline and what are the opportunities that we can convert more readily. And that's a focus for 2023. I should just say anecdotally, in terms of new mines coming online and projects, we are starting to see good signs that customers are now thinking really, really hard about HPGRs versus SAG mills. And Andrew was just showing me some marketing material from a copper mine in Australia, where they've changed the flow sheet. So actually, we've now proven that the HPGR is going to be more energy efficient than the SAG mill that we originally had on the flow sheet. So, we're going to go in that direction. So, the signs are good. We just got to keep pushing really hard to convert.
Bruno Gjani: Got it. I'll leave it there. Thank you, guys.
Jon Stanton: Thanks Bruno. Operator, one more question...
Operator: Thank you. We had one last question coming from Jonathan Hurn of Barclays. Jonathan, please go ahead. Your line is open.
Jonathan Hurn: Hey guys, good morning. I just have two questions, please. Firstly, can I just ask about foundries? Obviously, you're quite vertically integrated across both divisions. But if we look at raw material prices, they're starting to come off, energy prices are also starting to come off. But if you look at essentially your product prices, you're saying you're going to put through further product price increases in '23. So, as I think about that, could we see a sort of a mix benefit to margin to you in '23 from sort of this vertical integration within your business? That was the first one.
Jon Stanton: Yes. I think it's quite a complex moving feast in there, Jonathan. So yes, obviously, we are seeing commodity prices, materials, input costs coming off a little bit. But at the same time, we're seeing wages and salaries significantly higher increases this year in '23 than we saw in 2022. And if we were looking at the overall budget for payroll increases for 2023 is 70% higher than it was last year. So quite a material step forward in terms of the wage and salary increases that we are giving, and that's sort of inherent in what we're thinking of in terms of pricing and the gross margin guidance that John gave before. And energy is probably less of a factor, Jonathan, because really, we've only got one foundry in Europe, which is the one that's been impacted by really significant spikes in energy prices. Most of our foundries are in countries where energy shortages and electricity price increase has not really been very significant. Indeed, a lot of them are now on renewables contract. So, it's -- we've not had an issue with it particularly in 2023 that will reverse -- in 2022, that will reverse in 2023.
Jonathan Hurn: Okay. That's very clear. And then, the second one, obviously, understand what you're saying about guidance and your outlook for the year. But can you just sort of give us a little bit of where the visibility sits between the two divisions? Do you have decent visibility into H2 for both divisions in terms of sort of revenue or expected revenue?
Jon Stanton: Yes. I think as I said earlier, you break it down, original equipment for Minerals, a lot of that is already in the order book. So that revenue is frankly in the bank. Aftermarket is more shorter cycle. So, we look at run rates, production targets for our customers. We know what we're getting from a pricing point of view and so on and so forth. So, I mean, I feel pretty good about what we're saying today in terms of the expectations for that growth coming through in the aftermarket. You have to step back and say, we keep saying this, physical inventories, particularly of metals like copper, are extraordinarily low, and the industry is working really, really hard to keep up with demand. So that means they're pushing very hard. And of course, the commodity prices, I know they've come off a little bit over the sort of second half of 2022. But the incentive prices for our customers, if you take copper, probably depends on the mine, but $1 a pound, $1.50 a pound as sort of the marginal cost numbers for a panel production. And obviously, that is creating still -- our mining customers have slightly lower margins in 2021, but they're still extraordinarily good margins. And so, they're going to keep going. And that is really what underpins our -- the strength of our conviction about the growth potential ahead in the year. We're not really seeing any signs in hard rock mining that would undermine that in any way.
Jonathan Hurn: That's very clear. And maybe if I could just finally just squeeze one, very quick one in for John H. Just in terms of that Performance Excellence plan, obviously, you put the chart up there, you've got your estimate for what it should be in '23. Is that a base case? Could it potentially be better than that? And just following on from that, are those benefits going to be H2 weighted or could we see some of that coming through in H1?
John Heasley: Thanks, Jonathan. Good morning. I think for the overall program, as I said before, we've put a £30 million savings out there, which will benefit margins beyond 2023. I'd be really disappointed if that's all we get. So, we're optimistic about once we get into this, there'll be lots of opportunities. So, I think as I look at that medium term, over the course to 2025 and beyond, then I'd like to think we will do better than the £30 million. I'd be disappointed if we didn't. In the short term, as I said, it's mostly around capacity optimization, and we're taking action a little bit late last year, a little bit through the first half of this year. So, the benefits this year will be second half weighted in terms of Performance Excellence. And I think given its specific projects that we're working on, I think what we've guided to there is pretty accurate for this year. But as we move out to the longer term, then I think once this gathers momentum, we'll hopefully see some upside.
Jonathan Hurn: Okay. That's very clear. Thank you, guys.
Operator: Thank you. We have no further questions. I'll hand back to Jon and the team for any closing remarks.
Jon Stanton: Okay. Thank you, operator, and thank you, everybody, for participating in the call this morning. Thank you for the questions. And of course, if you have any follow-ons during the course of the day, then please be in touch with our Investor Relations team. But thank you for listening, and have a good day.